Operator: Thank you for standing by. This is the conference operator. Welcome to the Microvast Holdings, Inc. Third Quarter 2025 Earnings Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. I would now like to turn the conference over to Microvast Holdings, Inc. Investor Relations. Please go ahead.
Rodney Worthen: Thank you, operator. Thank you everyone for joining our update today. This is Rodney Worthen, VP of Corporate Strategy and Interim CFO. With me on today's call is Mr. Yang Wu, Founder, Chairman, and CEO. Mr. Wu will start off with a high-level overview of the third quarter results before providing some operational and business updates. I will then discuss our financials in more detail before handing it back to Mr. Wu to wrap up with our outlook for the remainder of the year and closing remarks. Ahead of this call, Microvast Holdings, Inc. issued its third quarter earnings press release which can be found on the Investor Relations section of our website, ir.microvast.com. We have also posted a slide presentation to accompany management's prepared remarks today. As a reminder, please note that this call may include forward-looking statements. These statements are based on current expectations and assumptions and should not be relied upon as representative of views on subsequent dates. We undertake no obligation to revise or release the results of any revision to these forward-looking statements due to new information or future events. Actual results may differ materially from expectations due to a variety of risks and uncertainties. For more information on material risks and other important factors that could affect our financial results, please refer to our filings with the SEC. We may also discuss non-GAAP financial measures during this call. These measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. These non-GAAP measures have been reconciled to their most comparable GAAP metrics in the tables included at the end of our press release and slide presentation. After the conclusion of this call, a webcast replay will be available on the Investor Relations section of Microvast Holdings, Inc.'s website. And now I will turn the call over to Mr. Wu to kick things off.
Yang Wu: Hello, everyone, and welcome. Thank you for joining us today. As always, I want to start by reminding you of our core mission. Founded in Texas in 2006, Microvast Holdings, Inc. has grown into a global leader in advanced battery technology. With over 810 patents, granted or pending, and our electrified solutions successfully deployed worldwide, we are proud to be a driving force in global electrification, building a more sustainable future one battery at a time. Innovation is core to our operations and always on display at Microvast Holdings, Inc. Our commitment to innovation has delivered some major milestones. At Microvast Holdings, Inc., we will always strive to push the limits of what is possible. Please turn to slide four, and I will give a brief overview of the quarter. We are thrilled to announce a record third quarter revenue of $123.3 million, which is an excellent 21.6% year-over-year increase. This increase was simultaneous with improving our gross profit margin to 37.6%, a 4.4 percentage point improvement from the same period last year. This demonstrates that we are not only able to grow but also that we can achieve such growth efficiently. Our focus on efficiency and profitability is continuing to pay off. I am pleased to report that we achieved an operating profit in the third quarter of $13 million with an adjusted net profit of $11.9 million and adjusted EBITDA of $21.9 million. This quarter is not just another milestone for Microvast Holdings, Inc.; it's a testament to both the long-term commitment required in this industry and the strength of our business model. This strength is not a one-time event; it's now a trend. Our consecutive revenue growth over the last several years indicates an increase in market demand for our high-performance products. This growth, along with improvement in our gross profit, validates our ability to successfully commercialize our advanced technology and operate efficiently at scale. The rapid growth has given us invaluable experience, enabling us to successfully deploy commercialized products across our portfolio and to refine our manufacturing processes. Moving forward, we intend to maintain our strategy by focusing on three core pillars: innovation, disciplined execution of our strategic growth objectives, and expanding our production capacity to meet growing customer demand. We believe that we are well-positioned for the future. Let's move to slide five, which illustrates the core of our business and strategy. At its core, Microvast Holdings, Inc. is a vertically integrated battery technology powerhouse. Our growth isn't accidental; it's driven by relentless commitment to innovation and is our primary engine for expansion. We are actively diversifying our revenue streams with a broader portfolio of products and services, all purpose-built to accelerate electrification. A cornerstone of our strategy is a determined push to capture greater market share. We are making focused investments to rapidly commercialize both our advanced products available today and our highly anticipated technologies of the future. We are staying disciplined by maintaining product innovation and strategically expanding our global market presence. This clear path is how we intend to grow, optimize our operations, and ultimately achieve our goal of sustained profitability. Let's turn to slide six for an operational update on our Huzhou phase 3.2 line expansion. I am pleased to report that we are in the final stages of installing and commissioning the production equipment, with completion targeted for year-end. This expansion is critically important, as the phase 3.2 is anticipated to add up to two gigawatt-hours of annual production capacity. The strategic timing of this expansion is intended to directly address existing market demand and position us to capture upcoming opportunities. We anticipate this new line's initial production to begin in Q1 2026. This expansion is a major step forward in securing our foundation for continued growth in 2026 and beyond. Moving to slide seven, let's look at the progress in our all-solid-state battery development. Building directly on our Q2 update, our proprietary five-layer cell continues to demonstrate exceptional stability to date. It has now successfully completed over 404 charge-discharge cycles at 1C, maintaining high efficiency and a steady capacity retention throughout the cycling window, as illustrated in figure one on the left. Our high-voltage 12-layer prototype also continues its cycle testing. The voltage capacity profile is the same in figure two on the right and validates its current testing performance. Prototypes indicate that our approach delivers high structural integrity, with minimal losses during charge transfer, a crucial factor for both battery longevity and peak performance. As detailed on slide eight, we are integrating our proprietary separator technology into our all-solid-state battery. This has multiple benefits, such as improved electrode interfacial contact and improved flexibility, which allows for more consistent manufacturing in comparison to more fragile ceramic separators. This technology builds on the polyaramide backbone that maintains structural integrity even under elevated temperatures. The membrane's robust yet flexible architecture enables high-pressure stacking during assembly, improving both mechanical resilience and resistance to lithium dendrite penetration. Equally important are its engineered ionic pathways, which create efficient and continuous channels for lithium-ion transport. In short, this breakthrough material integrates safety, mechanical strength, and ionic efficiency into a single scalable platform, positioning Microvast Holdings, Inc. as a leader in next-generation all-solid-state battery innovation. This is an example of Microvast Holdings, Inc.'s advantage. Now if you will join me on slide nine, I'd like to give an exciting new business development update. We have established a partnership with Skoda Group, a leading European rail and public transport manufacturer. The partnership validates Microvast Holdings, Inc.'s technology in extreme duty use cases and high-safety rail applications. We anticipate the first prototype by 2026. Now I will hand the call over to Rodney Worthen to discuss our financials for the third quarter.
Rodney Worthen: Thank you, Mr. Wu. Please join me on slide 11. We are happy to report a record-breaking third quarter with revenue growing at 21.6% year-over-year, to $123.3 million, up from $101.4 million last year. Our year-to-date revenue had a top-line growth of 24.3%, reaching $331 million compared to $266 million in the prior year period. This growth was driven primarily by an increase of approximately 360 megawatt-hours in sales volume year-to-date. Crucially, this growth was at a gross profit for the third quarter of $46.4 million, an impressive 38% improvement over the prior year period. This was achieved through operational execution, higher-margin end markets, increased utilization, and cost controls. As a result, our gross profit margin improved by 4.4 percentage points to 37.6%, up from 33.2% in Q3 2024. Our year-to-date gross profit was $121.2 million, which is a 55% increase compared to the prior year period, and gross margin was 36.6%, a 7.3 percentage point improvement year-over-year. Operating expenses increased to $33.5 million for the quarter, compared to $27.5 million in Q3 2024, a 22% increase year-over-year. The G&A increase was primarily due to $3.7 million of exchange loss attributed to the unfavorable euro RMB rate and $5.6 million in litigation expense, partially offset by $2.9 million of decreased non-cash share-based compensation expenses or SBC. The decrease in R&D expenses was primarily due to $1.5 million of decreased SBC expense and $1 million associated with lower employee headcount. The increase in sales-related expenses for the quarter was primarily due to $1.1 million of service fees from business development, partially offset by a $0.5 million decrease in SBC expense. OpEx decreased for the year-to-date period to $75 million, down from $195 million last year. For the nine-month period, the decrease in G&A expenses was primarily due to $17.7 million of decreased SBC expense and $7.7 million of decreased exchange loss from favorable fluctuation in the euro RMB rate. The decrease in R&D expenses was primarily due to $5.4 million of decreased expense and a $1.9 million reduction associated with a lower employee headcount. Selling and marketing expenses were largely flat for the period. There was also a substantial reduction in impairment loss compared to the prior year period, down to $1.4 million from $88 million. We reported a GAAP net loss of $1.5 million in the quarter. After adjusting for non-cash expenses such as SBC of $0.7 million and fair value changes to our warrant liability and convertible loan of $12.6 million, we achieved an adjusted net profit of $11.9 million. For the nine-month period, GAAP net loss was $45.8 million compared to a net loss of $113.1 million in the prior year period. Non-GAAP adjusted net profit year-to-date was $47.5 million, a major improvement from an adjusted net loss of $84.1 million last year. We are also displaying improved operational results as we report yet another consecutive quarter of positive adjusted EBITDA, reaching $21.9 million. Year-to-date, our positive adjusted EBITDA reached $76.3 million, a substantial improvement compared to a negative adjusted EBITDA of $53.5 million in the prior year period. The financial reconciliations of these non-GAAP metrics can be found in the tables at the end of our earnings press release and the slide presentation. On Slide 12, we show the geographic breakdown of our revenue mix compared to the prior year period. Our EMEA business accounted for 64% of quarterly revenue. This is up year-over-year from 59%. Revenue growth over the nine-month period saw an improvement of 31%, increasing to $176.8 million in the region. The US revenue share increased from 3% to 5% for the quarter when compared to the prior year period. We continue to focus on making inroads with domestic customers, and year-to-date revenue is $17.8 million in the region. Our APAC region also grew year-over-year, up 9% year-to-date, to $136.5 million, while we also successfully target higher-margin opportunities. Please turn to slide 13, and we will review our cash flow for the year-to-date. We are pleased to have generated positive operating cash flow of $59.5 million for the nine-month period. Net loss was primarily offset by a $17.4 million decrease in inventory and non-cash adjustments of $24.7 million in D&A, and $91 million from changes in fair value of warrant liability and convertible loans. This was partially decreased by a $41.2 million increase in net receivables and a $12.3 million decrease in net liabilities and accrued expenses. From investing activities, we had a net outflow of $15.5 million, primarily related to CapEx at our Huzhou facility, including our phase 3.2 production line extension. Financing cash flow resulted in a net outflow of $9.5 million. Overall, after accounting for a negative foreign exchange adjustment of $1.5 million, we had an increase in cash of $33 million. This resulted in total cash, cash equivalents, and restricted cash of $142.6 million at quarter's end. Now I will hand it back over to Mr. Wu to go over our outlook for the final quarter of the year and closing remarks.
Yang Wu: Thank you, Rodney. Please turn to Slide 15, which provides a summary of our outlook for the rest of the year. We are pleased to reaffirm our initial annual revenue guidance, which positions our projected revenue in the range of $450 to $475 million. Due to our focus on stronger performing segments and successful margin expansion efforts, we are also raising our full-year gross margin target from 32% to a new range of 32% to 35%. For APAC, our focus remains on the completion of the phase 3.2 expansion at our Huzhou facility. We anticipate completing the production line by year-end and beginning initial production operations in Q1 2026. As previously stated, this critical addition of up to two gigawatt-hours annually is intended to address the robust customer demand for our cutting-edge solutions and position us to capture upcoming opportunities. We expect strong sales growth for the year, and our development teams are making significant progress on the next wave of advanced products. Our EMEA business is expected to maintain momentum. We are constantly pursuing new strategic partnerships, such as the Skoda partnership discussed earlier, to support both current and upcoming product lines in the region. In The Americas, we anticipate further revenue growth year-over-year as we continue to proactively pursue customer acquisitions while simultaneously assessing our financing needs to support additional strategic objectives. Our sights remain on achieving three primary financial objectives for the final quarter: securing sustained positive cash flow, maintaining gross margins, and expanding our market reach powered by our R&D innovation engine. We remain confident that we can continue to bolster our business by capitalizing on global electrification trends, with the ultimate goal to deliver long-term value to our shareholders. Thank you very much, everyone, for joining us today to review another historical quarter for Microvast Holdings, Inc. We look forward to updating you again with our full-year 2025 results and additional news in the coming months. This concludes today's conference call. Thank you for participating, and you may now disconnect.